Bruce Young: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Concrete Pumping Holdings financial results for the fourth quarter and full year ended October 31, 2025. Joining us today are Concrete Pumping Holdings CEO, Bruce Young, CFO, Iain Humphries, and the company's external director of investor relations, Cody Slach. Before we go further, I would like to turn the call over to Mr. Slach to read the company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Cody, please go ahead. Thank you.
Cody Slach: I'd like to remind everyone that during this call, to give you a better understanding of our operations, we will be making certain forward-looking statements regarding our business and outlook. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from such statements. For information concerning these risks and uncertainties, see Concrete Pumping Holdings annual report on Form 10-Ks, quarterly report on Form 10-Q, and other publicly available filings with the SEC. The company disclaims any intention or obligation to update or revise any forward-looking statements, whether because of new information, future events, or otherwise. On today's call, we will also reference certain non-GAAP financial measures, including adjusted EBITDA, net debt, and free cash flow, which we believe provide useful information for investors. Provide further information about these non-GAAP financial measures and reconciliations of the comparable GAAP measures in our press release issued today or in the investor presentation posted on the company's website. I'd like to remind everyone that this call will be available for replay later this evening. A webcast replay will also be available via the link provided in today's press release as well as on the company's website. Additionally, we have posted an updated investor presentation to the company's website.
Bruce Young: Now I'd like to turn the call over to the CEO of Concrete Pumping Holdings, Bruce Young. Bruce? Thank you, Cody, and good afternoon, everyone. In the fourth quarter, our results continued to demonstrate the durability of our operating model and the benefit of our diversified platform. Despite a challenging macroeconomic backdrop, US concrete pumping volumes in the fourth quarter remained stable in the commercial market. The continued improvement in infrastructure was offset by lower homebuilding volume and softer residential construction markets. Our Eco Pan Waste Management Services segment again delivered steady year-over-year growth, underscoring the benefits of our diversified platform. In addition, our disciplined approach to cost management, fleet efficiency, and strategic pricing played an important role in top-line pressure and supporting profitability. Turning to specific comments by segment within our U.S. Pumping business, we continue to experience year-over-year improvement in publicly funded infrastructure work, including road, bridge, and education projects. Infrastructure projects are 25% of our US concrete pumping revenue during fiscal 2025, and our national footprint remains an advantage as previously allocated federal and state funding moves into proactive project starts. In the commercial end market, which was 47% of our US concrete pumping revenue, the demand environment in heavy commercial construction improved through the year in our key geographies, and this is underpinned by expansion in data center, chip plant, and large warehouse activity. Light commercial activity was softer year-over-year as construction volumes remained more sensitive to interest rate pressure and tariff-related uncertainty. Moving on to the residential end market, affordability constraints from higher interest rates continue to cause downward pressure on homebuilding demand volumes, and year-over-year revenue was lower in this end despite pricing being relatively stable. Our residential end market mix was at 29% of total revenue on a trailing twelve-month basis. We expect that moderating mortgage rates will encourage a steady path towards normalization to address this structural supply-demand imbalance in housing. We expect this will support medium to long-term home building activity, and we believe the Federal Reserve's path to interest rate reduction should provide incremental support to this end market's growth over time. Moving to our UK operations, commercial construction activity remains subdued as elevated interest rates and economic uncertainty continue to weigh on volumes. However, infrastructure remains resilient in the UK, particularly in energy projects and continued growth in HS2 rail construction, which still has a long construction runway remaining to project completion. In our US concrete waste management business, we continue to increase revenue due to both organic volume and pricing growth, even as the broader US construction markets remain challenged. I would like to pivot to 2026 in our capital investment plans, particularly surrounding an upcoming change with tighter emission standards that we believe will impact the broader construction industry. As a company focused on sustainable growth and long-term shareholder value, we are proactively accelerating a $22 million investment from fiscal 2027 into fiscal 2026 in our US concrete pumping and Eco Pan fleet in advance of the upcoming 2027 stricter NOx emission standards. For those of you who are unaware of what this means, NOx refers to nitrogen oxides, which are emissions produced by diesel engines and regulated due to their impact on air quality. The upcoming 2027 standards that are expected to go into effect January 1, 2027, will significantly tighten allowable NOx emission levels for new heavy-duty equipment. For fleet operators like Concrete Pumping Holdings, these standards affect the cost, design, reliability, and availability of new OEM equipment and will increasingly influence customer preferences on job site requirements. The decision to accelerate equipment purchases is based on a couple of key considerations, navigating the expected disruptions from first-generation truck technologies and anticipated truck price increases in 2027 driven by incremental OEM production costs. From an operational standpoint, we have experienced this change in emission regulations before, in transitioning heavy construction equipment to meet modern NOx emission standards is far more complex than simply replacing an engine or adding emissions hardware. These changes fundamentally alter how the equipment behaves in real-world conditions. In the last engine emissions change, it took several years to achieve an acceptable standard. This pull forward of a significant portion of fiscal year 2027 investment will reduce replacement CapEx expenditures in fiscal year 2027 and aligns with our capital allocation roadmap to allow for a smooth transition under new regulations to improve the company's competitive positioning. I will now let Iain address our financial results in more detail before I return to provide some concluding remarks. Iain?
Iain Humphries: Thanks, Bruce, and good afternoon, everyone. Moving right into our fourth quarter results. Revenue was $108.8 million compared to $111.5 million in the prior year quarter. The slight year-over-year decline reflects continued timing delays in commercial construction activity and softness in residential demand driven primarily by the prolonged high-interest rate environment. Revenue in our US Concrete Pumping segment, mostly operating under the Brundage-Bone brand, was $72.2 million compared to $74.5 million in the prior year quarter. Looking at our end markets, infrastructure projects remain the bright spot, with demand supported by sustained federal and state investments. Commercial project volume was largely consistent with the prior year fourth quarter. Strength in heavy and complex commercial projects helped to offset softness in light commercial work that continues to feel the pressure from high-interest rates. Residential demand softened late in the fiscal year, consistent with the broader affordability challenges and the prolonged high-interest rate environment. Revenue in our US concrete waste management services segment operating under the Eco Pan brand increased 8% to $21.3 million compared to $19.8 million in the prior year quarter. This organic growth was driven by higher pan pickup volumes and continued pricing momentum, underscoring the durability of this business through the cycle. For our UK operations, operating under the Camfaud brand, revenue was $15.3 million compared to $17.1 million in the same year-ago quarter. The decline was primarily volume-driven, reflecting ongoing weakness in commercial activity amid elevated interest rates and economic uncertainty. Foreign exchange translation was a 220 basis point benefit to revenue in the quarter. Returning to our consolidated results, fourth-quarter gross margin declined 170 basis points to 39.8% from 41.5% a year ago. As we continue to focus on the elements of business that we can control, a strong emphasis on cost control initiatives and pricing discipline helped mitigate margin pressure from lower demand volumes. However, these benefits were slightly outweighed by lower volumes and reduced fleet utilization. General and administrative expenses in the fourth quarter were $26.5 million compared to $27 million in the prior year quarter. As a percentage of revenue, G&A was 24.4% in the fourth quarter, compared to 24.2% in the prior year quarter, reflecting some operating deleverage on lower revenue rather than an increase in absolute spending. Net income available to common shareholders in the fourth quarter was $4.9 million or $0.09 per diluted share compared to $9 million or $0.66 per diluted share in the prior year quarter. Consolidated adjusted EBITDA in the fourth quarter was $30.7 million compared to $33.7 million in the same year-ago quarter. Adjusted EBITDA margin was 28.2% compared to 30.2% in the prior year quarter. The decline was primarily driven by lower revenue volumes partially offset by ongoing cost initiatives across the organization. Our US Concrete Pumping business, adjusted EBITDA declined to $17.5 million compared to $19.7 million in the same year-ago quarter. In our UK business, adjusted EBITDA was $4.1 million compared to $5.2 million in the same year-ago quarter. For our US Concrete Waste Management Services business, adjusted EBITDA increased 3.8% to $9.1 million reflecting robust operating leverage on higher volumes and pricing. Turning now to liquidity. At October 31, 2025, we had total debt outstanding of $425 million and net debt of $380.6 million, representing a net debt to adjusted EBITDA leverage ratio of approximately 3. We ended the quarter with approximately $3 million of available liquidity, including cash on hand and availability under our ABL facility, providing substantial financial flexibility. Now moving on to our share buyback plan. During the fourth quarter, we repurchased approximately 274,000 shares for $1.8 million or an average price of $6.73 per share. Since initiating this program in 2022, we have repurchased approximately 4.9 million shares roughly $31.5 million with $18.5 million remaining in the current authorization through December 2026. We continue to view repurchases as a flexible and opportunistic component of our capital allocation strategy that demonstrates our ongoing commitment to delivering enhanced shareholder value. Turning to our outlook for fiscal 2026. We expect revenue to range between $390 million and $410 million and adjusted EBITDA to range between $90 million and $100 million. Our guidance assumes no meaningful recovery in the construction markets during fiscal year 2026. While overall manufacturing and commercial activity remains muted, due to interest rate and tariff uncertainty, we continue to see healthy bidding activity in project starts in large-scale commercial projects such as data centers, semiconductor facilities, and distribution centers where pricing remains constructive. Our infrastructure and residential end markets, we expect 2026 revenue to be roughly flat year-over-year. We expect free cash flow, which we define as adjusted EBITDA, less net replacement CapEx, less net cash paid for interest, to be at least $40 million. The 2026 outlook assumes approximately $23 million of net replacement CapEx and $32 million of net cash paid for interest. This excludes the exceptional accelerated CapEx brought forward from 2027. As Bruce mentioned, we are incorporating accelerated fleet investment into our fiscal 2026 planning and long-term capital allocation framework. Fiscal 2026, we expect to invest approximately $22 million has been accelerated from our planned 2027 capital allocation investments. This represents a timing shift rather than a structural change to our long-term capital framework. With our fleet net replacement expected to be a low single-digit percentage of revenue in fiscal 2027. Our balance sheet and liquidity position is comfortable to support this fleet investment, we remain committed to disciplined capital deployment maintaining leverage within our target range and prioritizing returns on invested capital. We believe we are well-positioned to strengthen our service offering in anticipation of a market recovery. With that, I'll now turn the call back to Bruce.
Bruce Young: Thanks, Ian. While end markets have yet to show signs of a sustained recovery, we believe the company is well-positioned to benefit as construction activity ultimately improves. Over the last several quarters, we have preserved financial flexibility and generated strong cash flow, reinforcing the stability of our platform. Our focus remains in the areas within our control, executing against our disciplined growth strategy, maintaining our commercial leadership, driving efficiency through operational excellence, and strategically investing in our fleet as a source of significant competitive advantage. With our solid financial position, we have the flexibility to pursue acquisitions when opportunities arise, invest in organic growth initiatives, and deliver superior shareholder value. We continue to take a disciplined and opportunistic approach to M&A with a focus on value-added acquisitions that strengthen our core platform. In November 2025, we completed an acquisition in the Republic of Ireland that aligns us well with our strategy. While modest in size, the transaction has complementary capabilities and a new international region with healthy long-term demand drivers. The durability of our business model combined with a track record of successfully navigating cycles gives us confidence in our ability to deliver healthy financial and operating results through a variety of environments. We believe this positions the company to create long-term shareholder value over time. With that, I'd now like to turn the call back over to the operator for Q&A. Vaughn?
Operator: Thank you, sir. We will now be conducting a question and answer session. If you would like to ask a question, please press star and the number one on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press star 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. And our first question comes from Tim Mulrooney with William Blair. Please proceed with your question. Ian, Bruce, good afternoon.
Tim Mulrooney: Hey. Good afternoon, Tim. So a couple of questions on the guide here. I know you're expecting construction end markets to remain challenged this year, but it looks like you're actually expecting revenue to be up modestly at the midpoint. So can you just talk about the drivers of that? Is the year-over-year growth primarily from the acquisition? Or are you expecting some organic growth as well?
Iain Humphries: Yes. Tim, this is Iain. I'll take that. It's more so we're expecting volume to be largely consistent year-over-year, but we do expect to see some pricing improvement. Some of that will come from the larger projects that we mentioned. But year-over-year, we expect the volume to be relatively flat. Year-over-year. So that's where the incremental growth at the midpoint would come from.
Tim Mulrooney: Okay. That's helpful. Thanks, Iain. And then sticking on the guide for a minute. It looks like you expect revenue to be up a little bit, but margins to contract. Correct me if I'm wrong on that math, but if I'm right, you know, how should we think about the primary drivers of that margin pressure in 2026 in the context of that low single-digit top-line growth implied by the midpoint of your outlook? Is it just fleet utilization? Is there more that I should take into consideration there?
Iain Humphries: Yeah. No. I think you're right. It's mostly fleet utilization. I mean, obviously, we scale volume. We get a nice incremental margin, but with the volume being flat, there's a marginal decline in that margin percentage at midpoint. From that lower than expected or optimal utilization.
Tim Mulrooney: Okay. Got it. Very clear. And if I could just sneak one more in, if you permit me. I wanted to ask about your outlook for residential construction. I know it continues to be a challenge right now, but was a source of strength not all that long ago. So would you characterize this market right now for you, for new home construction, as getting progressively softer in recent months or stabilizing or on a slow path to recovery? I ask because we're getting all sorts of different signals and opinions from macro data points out there.
Bruce Young: Yeah. Thanks, Tim. I'll take that. And then I think I would look at that from the different regions. The regions where we do most of our residential, it was a little softer last year, but starting to improve slightly, and we do expect that it should improve some during this year. We're actually somewhat optimistic on residential.
Tim Mulrooney: Okay. Understood. Thanks for taking my questions and good luck in '26.
Iain Humphries: Alright. Thanks, Tim.
Operator: Our next question comes from Brent Thielman with D.A. Davidson. Hi, thanks. Good evening, guys. Yeah. I just wanted to maybe just follow-up on the overall kind of growth outlook for 2026. As you sit here today? And maybe just ask in a different way, your high-level views and expectations for each of the business groups. I guess I'm thinking a little more towards the UK group and the Eco Pan. What's sort of a good framework for us to think about for those two businesses with what you see in front of them?
Bruce Young: Yeah. Thanks, Brent. So taking them one at a time. So in the UK, we have a really strong presence in the publicly funded work, especially HS2 and some of the energy projects that are going on. There's some work around London that we are very well positioned for. So we expect public spend to be really good and our revenue in the UK to be quite strong with that. Our opportunity that we have in Ireland being run out of a UK operation. We see that as you know, the commercial market in Ireland is good. The infrastructure market in Ireland is good. So we expect that small business that we bought there to improve throughout the year. And the real question mark for us in the UK is really the rebound of the commercial market. It appears that there may be months behind even the US market on commercial work. And so that's kind of our outlook there. Eco Pan, as you know, we always expect double-digit growth, and we think the construction market went backwards significantly last year, but Eco Pan still had reasonable growth. We think with kind of the flatness in the market going forward this year that Eco Pan should be back to high single digits, maybe double-digit growth. We feel pretty good about the outlook for them. And with our US concrete pumping business, you know, we just mentioned residential. We expect it to be somewhat resilient this year. Infrastructure has been a little bit better for us. The real question for us is in the commercial market, as you know, we do a lot of work on data centers and chip plants and those sorts of things, which are really nice jobs for us that require, you know, large technical equipment, high volumes of being placed often in remote areas. That's a really nice fit for our business. That's the upside, but the downside is, you know, still no office buildings, no manufacturing because of tariff concerns. Really hasn't come about like we would expect it to. Hopefully, you know, the tariff discussions get settled out sometime this year and manufacturing starts coming back. But the commercial market is kind of questioning us as well. There'll be chip plants and data centers keep us going strong while we're waiting for something, you know, like commercial in some of these other markets and segments to come back.
Brent Thielman: That's really helpful, Bruce. Appreciate all that. Maybe just on Eco Pan and getting to that high single, potentially low double-digit kind of growth. Is that contingent on your ability to get into new markets, or can you get there in the existing sort of geographies that you're operating in?
Bruce Young: Good question. So we're always moving into every year, we move into a couple of new markets, but it takes a little while for them to develop. But again, the markets that we have moved into previously haven't matured yet. And so there's an awful lot of opportunity to create greater density in some of the current markets that we're already in.
Brent Thielman: Got it. Maybe just the last question. The CapEx pull forward, does this address all of your requirements associated with the upcoming regulations? Or should we think there's another big slug in CapEx the next year too?
Bruce Young: No. This pull forward will address almost all of that issue. You know, I don't know if you remember back in 2008, the last time there was a major change in the emissions, it for the concrete pumping industry, it literally took from 2008 to 2013 before they could come out with a reliable truck that they could put underneath a concrete pump and operate it. And now I realized, you know, during that time, we had the GFC, and so there maybe was a lot of effort to put into that, but we are concerned about the disruption. To giving us a truck that is reliable to service our customers the way we need. And that's the reason we're pulling that forward so we don't get caught up in that as they're trying to sort through getting us a reliable solution.
Brent Thielman: Okay. Thanks very much. I'll pass it on.
Bruce Young: Thanks, Brent.
Operator: Before we take our next question, as a reminder, please press star 1 on your telephone keypad. You will hear a confirmation tone to indicate your line is in the question queue. Our next question comes from Andy Wittmann with Baird. Please proceed with your question.
Andy Wittmann: It's nice to have a CEO that has been around long enough to learn from the 2008 truck crisis. To avoid it in the past. So that's a good thing. I guess just Eco Pan margins, you know, good revenue growth. EBITDA didn't come through quite as much, Iain. Was that a comp issue, or you had to mention that I think you said that the pickups and the deliveries were big drivers. I guess that's probably a little lower margin. Is that what it is? Is that the bridge? Normally, I'd expect positive leverage out of the business here, but I think you could address.
Iain Humphries: Yeah. So, look, I mean, as Bruce mentioned just in the last of his closing remarks, we did move into some new regions. So as you know, there is a little bit of overhead investment to stand up some of those newer regions. So I mean, change in the EBITDA margin percentage, but, you know, the payback and the ROI still really healthy. So yeah, we're still very happy with the margin. But, you know, as you know, there's a bit of an investment lag as we stand up some of those newer markets that we entered into, so late in '25.
Andy Wittmann: Yeah. Okay. And then just I just thought I'd ask about fuel, actually. Crude prices are way down, but it doesn't look like diesel's followed suit quite as much. And I was hoping you could just address what the net impact was in fuel to the quarter. What you're looking for what's kind of underwritten in your guidance? I know, obviously, there's a range, so there's a range in your fuel outcomes as well. But so are you thinking is that a headwind year over year in '26, tailwind? I know that diesel prices in November were super low actually, but they've kind of popped up a little bit more since then. So just maybe if you could address the topic as a whole would be helpful for us.
Iain Humphries: Yeah. Sure. So, I mean, obviously, we track that as well. And so year over year in the quarter, were largely flat. The have come down. I mean, since back from, like, 2022-2023, but it's sort of been a bit uneven. Would say over the last year or two. Our assumption is going forward that that will largely remain. So we don't see it normally like a headwind or a benefit going into next year as we sit here currently yeah, that's a quick look back and where we see things going forward.
Andy Wittmann: Got it. And then just yeah. Now, Bruce, just I know the Ireland investment's not that significant, but it feels kind of like a bit of a change. You're I guess you're not in Dublin. There's I know the whole country is kind of growing, but is this a one-off, or do you feel like now that you got at least some kind of a flag planted here that you need to build out, the rest of the republic. And maybe if you could just talk about any things that we should think about for modeling that one, Iain, that'd be helpful. Either cash outlay or how much revenue we should expect from it. Just so we can understand what it could might contribute.
Bruce Young: Yeah. Well, for the question, Andy. But, certainly, we wouldn't have gone into court just as a one-off. We see opportunity for several other opportunities for acquisitions in Ireland. Okay. And certainly not anything to talk about currently, but, you know, our plan is to do to take that and grow it.
Iain Humphries: Yeah. Any comments anything you can say in the economics, or should we just wait for the filing? Yeah. I mean, on the economics, I mean, in US dollars, it's largely a couple of million dollars of revenue and about half a million of EBITDA contribution. And as Bruce says, I mean, obviously, they're scaling there. I mean, one thing that we can do is there's a common they call it a common travel area. Between the UK and Ireland. So there is an ability to move labor back and forth as we sort of build out that landscape. I mean, you move between like, Galway, Dublin, Lubbock, and down to Cork, it is there's a really strong economy that's back in some of that construction activity we're seeing there.
Andy Wittmann: Okay. Last one for me. Sorry to keep going here, but with round them all up. Bruce, just kind of on the environment, I guess, for lack of a better term, you know, at first, when interest rates are going up and things were kind of slowing down, it was there's talk there was talk about projects delayed timing, not cancellation. You still kind of had them on the roster for doing the job someday. Just want to check-in on that. Has there been, in fact, now cancellations that you're gonna have to kind of re-win the jobs, or what is kind of the status of some of the stuff that was a one-time plan, but it's been kind of slow-moving now for a while? I'm just kind of curious if so. What you kind of see there and where your backlog stands today as a result of that.
Bruce Young: Yeah. So the only two areas that I would say that we have that concern, any office buildings were planned over the last few years, they've been shelved, there's no telling when they might they may come back. Manufacturing, there's a lot of that that is on hold, may start up depending on how the tariff conversations land. Many of those projects, we already have. And if they go, we will we'll be in line to do those projects. So we feel pretty good about that. But like we mentioned earlier, the offset is the chip plants and the data centers where we're doing quite well on that. And as long as they can keep providing energy and water to those sites, you know, we think that could be really good for us this year.
Andy Wittmann: Alright. That's all I had. Thanks a lot.
Iain Humphries: Alright. Thanks, Andy.
Operator: At this time, this concludes our question and answer session. I would now like to turn the call back over to Mr. Young for closing remarks.
Bruce Young: Thank you, Vaughn. We'd like to thank everyone for listening to today's call, and we look forward to speaking with you when we report our first quarter results in March.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.